Company Representatives: Scott Staples - Chief Executive Officer David Gamsey - Chief Financial Officer Stephanie Gorman - Vice President, Investor Relations
Operator: Good day, and thank you for standing by. Welcome to the First Advantage Second Quarter 2022 Financial Results Conference Call. At this time all participants are in a listen-only mode. After the speaker’s presentation there is will a question-and-answer session. [Operator Instructions]. Please be advised, that today’s conference is being recorded.  I would now like to hand over the conference call to your speaker today, Stephanie Gorman. Please go ahead.
Stephanie Gorman: Thank you, Angelina. Good morning, everyone and welcome to First Advantage’s second quarter 2022 earnings conference call. In the Investor section of our website, you will find the earnings press release and slide presentation to accompany today’s discussion.  This webcast is being recorded, and will be available for replay on our Investor Relations website. Before we begin our prepared remarks, I need to remind everyone that our discussion today will include forward-looking statements. Such forward-looking statements are not guarantees of future performance.  Actual results may differ materially from those expressed or implied in the forward-looking statements due to a variety of factors. These factors are discussed in more detail in our filings with the SEC, including our 2021 Form 10-K and our Form 10-Q for the second quarter of 2022 to be filed with the SEC. Such factors may be updated from time to time in our periodic filings with the SEC, and we do not undertake any obligation to update forward-looking statements.  Throughout this conference call, we will also present and discuss non-GAAP financial measures. Reconciliations of our non-GAAP financial measures, to their most directly comparable GAAP financial measures, to the extent available without unreasonable effort appear in today’s earnings Press Release and Presentation, which are available on our Investor Relations website. I’m joined on our call today by Scott Staples, First Advantage’s, Chief Executive Officer; and David Gamsey, our Chief Financial Officer. After our prepared remarks, we will take your questions. I will now hand the call over to Scott.
Scott Staples : Thank you, Stephanie. And good morning, everyone. Thank you for joining our second quarter 2022 earnings conference call. In June, we celebrated our 1st Anniversary as a publicly traded company, and I am extremely proud of all that we have accomplished in such a short amount of time.  We have consistently delivered double digit revenue growth, industry leading adjusted EBITDA margins and tremendous cash flow from operations. On top of this, we have delivered product innovation that helps our clients hire smarter and on board faster, and executed its strategic acquisitions that have outperformed expectations.  Reflecting on the last 12 months ended June 30, we had extremely high growth with revenues up 33%, adjusted EBITDA up 37% and superior adjusted EBITDA margins of 31%. This growth is incremental to the strong results we had during the prior year period.  We leveraged our digital initiatives, including automation, bots, machine learning and artificial intelligence to do things better, faster and more cost effectively. In addition, as of July 31, our growing in house proprietary databases now include more than 650 million records with 50 million records in our verified employment and education database and over 600 million records in our National Criminal Records File database.  These in-house databases strengthen our value proposition to customers, who depend on the speed and quality of our solutions to help them succeed in today’s dynamic and fast moving hiring environment.  Our highlights for the second quarter are summarized on slide five. Continued strength across our business helped us achieve year-over-year revenue growth of 15.3% or 16.6% on a constant currency basis. We achieved this growth despite an uncertain economic backdrop, increasing interest rates and inflation continuing to strain the overall economy.  Growth from our existing customers continued in Q2, along with additions from new customers and up-sell/cross-sell wins. Our verticalized go-to-market strategy and innovative solutions are enabling customers to further expand their relationships with us. In addition to our sales momentum, we also grew Q2 adjusted EBITDA resulting in an adjusted EBITDA margin of over 30%.  This reflects our continuing efforts to drive operational efficiencies and digital initiatives. Grow the usage of our proprietary databases and leverage our G&A infrastructure. We remain focused on these initiatives to deliver ongoing superior margins. You will recall that during our first quarter earnings call, we discussed the macro trends and structural tailwinds supporting our long-term revenue outlook as well as the sustainable growth and resiliency of our industry.  First Advantage’s job market tailwinds, including frequent job switching and high churn, continued to fuel our customers’ hiring needs. In the new era of high velocity hiring, fundamental changes in how people work and apply for jobs are here to stay.  These create long-term tailwinds for our business and will continue to propel our growth. The jobs market continues to be resilient and we see few signs of this changing anytime soon. With the unemployment rate remaining near historic lows, demand for workers remaining at historic highs and elevated levels of job churn, we see sustained demand for our products and solutions.  In fact, a report published by McKinsey in July found that about 40% of global workers are considering quitting their current jobs in the next three to six months. These themes are also echoed by what our customers have communicated to us in recent weeks. Despite the backdrop of a potential slowing macroeconomic environment, our customers generally are projecting continued growth in hiring in the second half of the year, albeit at normalized growth levels as opposed to the extraordinary year-over-year growth they had emerging from the COVID-19 pandemic. Looking ahead, this translates into normalized rates of growth for our business as well. This remains consistent with the original commentary we shared earlier this year on the phasing of our 2022 revenue guidance.  Our customers are generally in excellent window into the jobs market, and our recent conversations with them provide us a lot of confidence in our own outlook for the rest of the year. Additionally, our differentiated go-to-market strategy and verticalized enterprise sales force has enabled us to win eight new logo enterprise customers in the second quarter, that will ramp up throughout the second half of the year.  We are also thrilled to share that in the last 12 months, we have 128 new logo enterprise customers, a meaningful addition to our enterprise customer base. As a reminder, we define enterprise customers as those with $500,000 or more of annual contract value.  We are delighted to announce the award of a major five-year contract renewal with one of our largest customers with an estimated total contract value between $350 million and $400 million. This Fortune 50 client highlighted our technology, vertical industry expertise and outstanding customer service as its primary rationale for choosing First Advantage. We believe this represents one of the largest contracts in the history of our industry. Additionally, during the quarter we won a significant up-sell in our health care vertical with a top 20 account, which will more than double the revenues from this client, propelling it to a top 10 account. These significant wins validate our go-to-market strategy and give us additional confidence in our guidance ranges.  Finally, I want to highlight our continued strong cash flow from operations, which was driven by revenue growth and superior margins. Today, we announced that our Board of Directors has approved a share repurchase program with authorization to purchase up to $50 million of common stock over the next 12 months.  Our strong cash position gives us flexibility around capital allocation priorities, which David will cover in more detail shortly. Turning to slide six. As one of the leaders in our industry, First Advantage’s value proposition is enhanced by our long-standing commitment to continuous innovation, propelled by our ongoing feedback loop with customers.  This close communication is integral to developing and enhancing differentiated products that help our customers hire smarter and on-board faster. Today, I would like to highlight a few of our recent product innovations. First; the new release of our enhanced profile advantage mobile applicant experience addresses the needs of the changing workforce. It reduces application time to minutes, enhancing quality throughout an increasingly automated process.  It’s smart and intuitive applicant interface supports 19 different languages and is accessible to applicants with disabilities. This update also includes integration with our digital identity solution that is aligned with the recent government rollout of digital ID standards in Europe. Since marketing efforts began, the number of customers signing up for our digital trust solution has exceeded our expectations.  Second; we have signed an agreement with Plaid, a leading financial data network company and a company that is a Silver Lake portfolio company. By leveraging Plaid’s APIs, we will help enable near instant verification of an applicant’s present employer during the applicant background screening process, offering simplicity and speed. And third; we continue to build out our proprietary databases.  As of July 31, Verified has grown to 50 million records and our National Criminal Records File database has grown to over 600 million records. By growing our Verified database, we deliver faster turnaround times for our customers, while positively impacting our margins.  Our proprietary databases facilitate intelligent insights for our customers through increased access to records and richer datasets. These databases are a significant differentiator for First Advantage. All of these developments help us deliver smarter, faster and more innovative products and solutions, and continue to differentiate First Advantage as an industry leader in the minds of our customers and partners. Moving to slide seven. During the second quarter, we published our inaugural ESG report. Our commitment to ESG is powered by our deep understanding and appreciation of the global workforce. This expertise is an essential differentiator and key to our tremendous growth. People are at the heart of everything we do and our dedication to ESG is fundamental to our corporate culture and how we do business.  We are committed to the environment and we are working continuously to expand our strategies around sustainability. While our business operations inherently have a modest carbon footprint, we continue to look for ways to reduce and minimize our impact. We are also committed to strong governance, and we take our responsibility to our shareholders, our customers and the people they seek to hire very seriously.  We are committed to maintaining a strong and independent Board as evidenced by our well qualified Directors of diverse backgrounds, who oversee the audit, compensation and Nominating and Corporate Governance Committees. During the second quarter, we were pleased to welcome Bridgett Price as an Independent Director and a member of our Audit Committee. Bridgett’s impressive experience as a human resources leader provides her with valuable perspective on how clients use First Advantage Solutions as well as how our sector will continue to evolve and grow. We are excited about our collective efforts to embrace ESG. Our work will continue to develop as we identify relevant metrics and goals to monitor and measure our ESG performance and progress in the future.  I will now turn the call over to our Chief Financial Officer, David Gamsey for more details on our financial results. David. 
David Gamsey: Thank you, Scott. And good morning, everyone. We are very proud of our results from another excellent quarter marking our eight consecutive quarter of double-digit revenue growth. Now turning to slide nine. Versus the prior year, our second quarter revenues grew 15.3% to $201.6 million, of which 10.5% was organic.  On a constant currency basis, our revenues would have been approximately $2.2 million higher, representing 16.6% growth year-over-year. Our international segment, with revenues of $33 million, was up approximately 10% from Q2, 2021, even with the foreign exchange rate headwinds. In total, international represented 16% of consolidated revenues in the quarter. In Q2, revenues from our existing customer base contributed $9.6 million to our year-over-year growth. Revenues from new customers contributed $8.8 million or 5% to our year-over-year growth.  Revenues from acquisitions contributed $8.3 million in total during the quarter. Adjusted EBITDA for the quarter grew 8% to $60.8 million. As expected, our adjusted EBITDA margin of 30.2% was below the prior year, primarily as a result of incremental public company costs, increased insurance premiums, increased third party verification cost, additional investments in technology and sales and lower margin results from our acquisitions, all of which were included in our prior guidance. On a constant currency basis, our adjusted EBITDA would have been approximately $700,000 higher or $61.5 million. We continued to be pleased with the high quality of our earnings, and a small number of add-backs included in our adjusted results. I will also note that inflation is having only a modest impact on our cost structure and margins and has already been reflected in our guidance for 2022. Adjusted net income increased 14.5% to $38 million, from $33.2 million in Q2, 2021. Adjusted diluted EPS was $0.25 per diluted share for the quarter. Please note that the prior year quarter was before our IPO, and at that time, the share count was materially lower. Excluded from the second quarter adjusted net income calculation is the $2.1 million gain associated with our interest rate swap. This is on top of our $5.3 million gain in Q1. As a reminder, with our interest rate collar, approximately 50% of our long term debt is capped with a 1.5% one month LIBOR rate through February 2024, which benefits us in the current rate environment. The adjusted effective tax rate for the quarter was approximately 25%, consistent with the Q1 2022 rate of 25.1%. Slide 10, is included to illustrate our consistent track record of delivering growth throughout the business cycle. This is our fifth reporting quarter as a public company and we are very pleased that we have exceeded revenue growth expectations in each of these quarters.  Certainly, we are subject to macroeconomic factors, but the pandemic in 2020 demonstrated our ability to weather a downturn well and continue to grow. Despite the uncertain economic outlook today, the current jobs data and feedback from conversations with their clients are indicating continued strength in the jobs and hiring market and a return to normalized hiring growth. This has been reflected in our outlook for the remainder of the year and is consistent with our long-term model.  On slide 11, you can see our track record of growing adjusted EBITDA and consistently delivering industry leading margins over many quarters, as we constantly strive to increase operational efficiencies and automation, as well as expand our usage of proprietary data basis. While in line with the commentary we previously provided around quarterly phasing of our guidance, we did face some margin headwinds in Q2 that I described a few moments ago.  Yet, we still grew over these items and produced adjusted EBITDA margins of over 30%. I’ll remind you that this quarter is the last, where we will be facing headwinds from new public company costs as we have cycled over our first anniversary of going public in June. Next, turning to slide 12. In the second quarter, operating cash flows increased 69.3% to $54.8 million. This is a substantial increase driven by our revenue growth and profitability. It also reflects our strong cash flow conversion, which we expect will continue throughout the year. On a year-to-date basis, cash flow from operations was over $96 million. During the quarter, we spent $7.8 million on purchases of property and equipment, and capitalized software development cost. We ended the quarter with total debt of $565 million and cash of $352 million.  Based on our last 12 months adjusted EBITDA of $248 million, we had a net leverage ratio of 0.9 times as of June 30, 2022. We also have a $100 million in untapped borrowing capacity under our revolving credit facility with no outstanding balances. Our balance sheet strength, current cash and liquidity position, modest leverage and expectations for continued free cash flow generation, provide us with flexibility in our approach to capital allocation, including the execution of an up to $50 million share repurchase program that we announced today.  As context, we generated operating cash flow of $54.8 million in Q2 alone, $96.4 million on a year-to-date basis and a $189 million over the last 12 months. This still leaves us with significant flexibility and liquidity. We expect that these share repurchases will be accretive to EPS.  The company is not obligated to repurchase any specific number of shares and the timing, manner, value and actual number of shares repurchased will depend on a variety of factors, including the company’s stock price, other business considerations, and general market and economic conditions.  It is worth noting that as part of this repurchase program, no shares will be purchased from Silver Lake or its affiliates. Consistent with our overall capital allocation priorities, we are constantly evaluating acquisitions, targeting opportunities aligned with our strategic priorities, including adding vertical capabilities, expanding internationally or acquiring complementary solutions data or technologies. Since 2021, we have closed on four strategic acquisitions, which continue to perform ahead of our expectations.  As a result of our very strong and liquid balance sheet, consistent cash flow generation and a seasoned leadership team with deep M&A execution experience, we are well positioned to capitalize on future M&A opportunities.  Over the past two quarters, we evaluated numerous targets, but ultimately elected to pass as they did not meet our strategic, technological and/or valuation criteria. We also continue to drive organic growth through investments and technology, automation and product innovation, as well as initiatives to our sales, solution engineering and customer success functions.  We believe it is important to maintain a strong balance sheet with a conservative capital structure and a flexible leverage profile. We expect to fund potential future acquisitions for us from available cash on the balance sheet.  Our strong cash generation allows us to also consider paying down debt and to execute on the share repurchase program without any incremental borrowings. We continually evaluate our capital allocation priorities and believe that a balance between M&A, returning capital to our stockholders and investing in the continued growth of the company, will maximize shareholder value. Next, slide 13, summarizes our guidance for the full year 2022. Today, we are raising the low-ends of guidance ranges for revenues, adjusted EBITDA and adjusted net income to reflect our second quarter performance. We now expect to generate full-year 2022 revenues in the range of $823 million to $835 million, representing approximately 16% to 17% year-over-year growth, including the negative impact of FX rates.  This is on top of the significant revenue growth we experienced in 2021, including the 38% growth in the second half of 2021.We also anticipate continued incremental flow through from our increased revenues and expect 2022 adjusted EBITDA to be in a range of $254 million to $259 million.  This will result in further expansion of our adjusted EBITDA, high quality of our earnings and significant cash flow generation. We expect our 2022 adjusted net income to be between $158 million and $161 million, primarily due to the previously discussed factors. We have included additional color on other assumptions in the footnote on slide 13. [Audio Gap] current trends in our business, close dialog with our customers regarding their growth plans and hiring forecast, and our internal growth initiatives and outlook, we maintain a high level of confidence in our full year 2022 guidance ranges. I will now turn the call back over to Scott.
Scott Staples: Thank you, David. In summary, we are excited about the opportunities ahead, and we think First Advantage is well positioned for continued growth. Our focus continues to be on delivering value for our shareholders. Thank you very much for your time and your ongoing support.  At this time, we will ask the operator to open the call for your questions.
Operator: Thank you, Scott. [Operator Instructions] Our first question comes from Ashish Sabadra from RBC CM. Please go ahead.
Ashish Sabadra: Thanks for taking my question. Scott, congrats on the large win, as well as steady pipeline of really strong wins. I was just wondering if you could talk about the pipeline for new opportunities going forward, but also discuss what drove that the new win that you highlighted. Was that from another large player or the smaller player in the space and further opportunity for First Advantage to consolidate the market? Thanks.
Scott Staples: Yeah, thanks Ashish, a great question. So pipeline first. So you know the pipeline is strong. We are looking at our largest pipeline in company history. I think that is reflective of our vertical go-to-market strategy, the product innovation and investments that we have made and just pure sales execution.  On the win, we’re absolutely delighted. It’s such a phenomenal win for the company, but it was not a new logo win just to be clear. It was the renewal from an existing customer, but we are really excited about the fact that it was a five year contract renewal, which is not normal in our industry, typically three year contracts and obviously large in scale.  So I think as I highlighted in my comments, it came down to the technology, the account teams that are working with that customer, customer care, customer support, all the things that we put in place to help that customer as we like to say, you know higher, smarter and onboard faster.
Ashish Sabadra: That’s very helpful color. And one of the questions that we’ve been asking all the companies in our coverage universe is about the downturn playbook. If the economic environment were to slow down significantly, I was just wondering how should we think about any impact on the EBITDA and also what levers you could potentially pull in order to protect the margins. So any color on that will be helpful.
Scott Staples: Yes, so I’ll give you a high-level overview of where we see the macro and then let David talk about the levers. As we said in our statement just a few minutes ago, you know we’re still seeing a strong demand for our products and services. I’ve been saying this for maybe the last year or so more. This is a different job market than we’ve ever seen.  This is a generational shift that’s going on. And it’s been obviously good for our business. You know we keep pushing people back to looking at data and JOLTS [ph] data is a great source to go. I mean again, July quits data of 4.2 million. I believe that’s now 16 straight months of over 4 million in quits. If you do simple math, that’s over 60 million people quitting their jobs in the last 16 months.  So I think we’re seeing generational shifts. We’re seeing more people come back into the workforce, un-retiring because of inflation. We’re seeing job turnover and our customers are expecting that job turnover to continue, because people are not just making job selection based on traditional socioeconomic factors, there’s more to play here. It’s work-life balance. It’s changing locations due to other reasons, whether it’s high-tax state to a low-tax state, changing of weather, quality of life, political reasons.  There’s a lot of reasons people are moving and changing jobs, and that’s all good for our business and I think it’s showing up in our results and it’s been further clarified in our guidance.  I’ll let David talk about the levers.
David Gamsey: So to echo what Scott just said, if you look at our implied guidance, that would suggest that our adjusted EBITDA margins will remain over 30% for the balance of the year. We are staffed up and prepared for our seasonal peak, which generally runs September, October, November. They are our strongest months of the year. We are flexible relative to our staffing. We look at that constantly. We’re in touch with our clients, and we have grown over our public company costs, so we have now lapped that. So we feel very confident that we can maintain industry leading margins.
Operator: Thank you. Now our next question is from Manav Patnaik from Barclays. One second while his line is opening. Manav, please go ahead. Manav, you are live, so please go ahead.
Scott Staples: I’m not hearing the question. 
Operator: Yes, Manav we’re just going to drop your line just because we can’t hear you. I just ask you to try again. Just in the interest of time we’ll move on to our next question. [Operator Instructions] Our next question will be from Andrew Steinerman from JPMorgan. His line is just opening. Andrew, please go ahead. 
Alex Hess: Yes, hi! This is Alex Hess on for Andrew Steinerman. I wanted to briefly review maybe what you’re seeing in your largest verticals and especially with retail. We’ve seen some notable deterioration in headcount at a couple of the large retailers nationwide. It would just be helpful to get any color around what you’re seeing and maybe why that might be blocking larger trends? Thank you.
Scott Staples: Yeah Alex, good to hear your voice. So you know in general, it’s just a quick reminder on our retail footprint. Our retail footprint is really not that strong in what we call traditional brick-and-mortar. So most of our retail footprint is really more of an e-commerce footprint or a discounter, and we have not seen hiring slowdowns in that sector.  We know there have been some announcements of potential slowdowns or even layoffs at maybe corporate functions or things like that, but in the high-volume, high-velocity hiring aspects of those businesses, we are still seeing a very strong demand for our services and ordering volume. So obviously we’re monitoring that and we’ll keep an eye on that, but as of right now our vertical footprint in that space is still seeing very good growth.
Alex Hess: Got it, and then maybe just a quick follow-up. Can you provide a little bit more color on the relationship with Plaid. How you sort of envision that creating a distinctive offering with respect to verification? What are sort of the mechanics of that arrangement?
Scott Staples: Yes, so we you know – Plaid’s got incredible technology. We see a shift in the verification space toward faster near instant types of verifications and that shift being enabled through technology partners like Plaid, where you can verify present employer literally in seconds. So with the job market the way it is, customers are frantically searching for anything that will reduce their onboarding times and verification tends to be the long pole in the tent when it comes to background screening.  So the ability to tap into a Plaid who can do near instant verification of present employment will certainly help our customers onboard faster and hit their business goals that they are trying to achieve.
Alex Hess: Thank you so much.
Operator: Thank you so much for the question. [Operator Instructions] Our next question is from Shlomo Rosenbaum from Stifel. Apologies if I [inaudible] that last name there. Give me one second while I open your line. Please go ahead.
Adam Parrington: Hi! This is Adam on for Shlomo. I wonder what the M&A environment looks like given your previously communicated desire to continue to pursue M&A. Have valuations come down to a more reasonable level and how does the $50 million share repurchase impact the company’s ability to potentially do a larger deal?
Scott Staples: David, do you want that one?
David Gamsey: Sure. So the M&A market is still robust. We continue to evaluate a number of opportunities. But we really didn’t like anything that we saw that came to market in the first half of the year. We either had an issue from a technological perspective where they had multiple platforms that were not integrated or it didn’t fit us strategically or the valuations were out of line with the market today. So we look at all three of those criteria, but we’re going to keep looking. That’s our number one priority from a capital allocation perspective. We have plenty of liquidity. We have $352 million of cash. We’re generating over $50 million of cash a quarter, $96 million in the first half of the year. So if you think about the stock buyback program, that’s only one quarter of cash flow. So over the next 90 days we’ll generate enough to pay for all of that and still have the cash on our balance sheet. We have $100 million unused revolver and our leverage is under 1x.  So we have plenty of flexibility. We have a great balance sheet and M&A remains a very, very high priority.
Adam Parrington: Okay. And then for some of your earlier comment about customers seeing kind of continued growth in hiring demand, but at a more normalized level. Could you elaborate a little bit more on that? What do you mean kind of like normalized specifically in specific areas, into industries or just any general thoughts about that.
Scott Staples: Yes, so if you look at our guidance models, we’ve always said normal growth in our – you know for First Advantage is in that 8% to 10% range and obviously you know with the numbers we’re projecting for the year over that target. But we’re literally hearing from our customers that they are getting back to normal business as usual type growth and demand in the job market, which has obviously been a great number in the past.  So we’ve gotten over that massive hiring that happened post COVID when everyone was rehiring people and now we’re getting back into just the rhythm of normalized growth, normalized hiring, you know which we’ve already factored into our guidance and communicated today.
Adam Parrington: Okay, thanks.
Operator: [Operator Instructions] Our next question is from Ronan Kennedy from Barclays. Your line is open. Please go ahead.
Ronan Kennedy: Alright, good morning and thank you for taking the questions. Apologies for the difficulty with the audio earlier. I’m calling in on behalf of Manav. May I just ask, and apologies if this has been covered, so I’m happy to refer to the transcript.  Can you just, you know given the dollar numbers for the various components of the organic growth with regards to new business wins, upsell, cross-sell growth, etc. And then how you think that would look or potentially change should there be a downturn? You know would it primarily impact base for which GDP would be a proxy or any other consideration in light of the changes in the macro outlook.
Scott Staples: So as we said earlier, we grew 10.5% organically in the quarter, 15.3% in total, 16.6% on a constant currency basis and $9.6 million of that was from our existing customer base, $8.8 million were from new customers and $8.3 million from acquisitions; that’s pretty consistent with our long-term targets.  Our model that we’ve communicated all along is really kind of base growth between 2% and 4%, upsell cross-sell between 4% and 5%, new logo between 5% and 7%, backing [Audio Gap] 15.3% in total, 16.6% on a constant currency basis, and $9.6 million of that was from our existing customer base, $8.8 million were from new customers and $8.3 million from acquisitions. That’s pretty consistent with their long-term targets.  Our model that we’ve communicated all along is really kind of pipeline based on our discussions with their clients. We think that’s going to continue throughout the second half of the year.  I’m sorry, we can’t hear you. 
Operator: Ronan, do you have a follow-up question?
Ronan Kennedy: Yes, sorry. Can you hear me now?
Operator: Yes, that’s better.
Ronan Kennedy: Again, I apologize for the audio issues. So David, thank you for that with regards to the commentary for the expectations for the remainder of the year. In the event, if there were to be a further deterioration and you did see – you know because we get questions, what happens when you start to see the claims around unemployment rise and the tightness within the market weakening? And for instance, if you see in the news a client who we believe to be a marquee client announces that they over-hired or they’re lowering the pace of hiring or they’re doing layoffs. What does that look and feel like from a First Advantage standpoint?
Scott Staples: Well, the way we think about that is impact on base growth, so it’s from our existing clients, and as you’ve seen over the past six to eight quarters, those have been through the roof from a base growth perspective. And what we’re seeing is -- it’s coming down to a normalized growth rate. So it’s coming down into this 2% to 4% base growth range. It’s been running 10% plus. In fact, in 2021, it was over 20% from a base growth perspective. So it’s normalizing back to where it was kind of 2019-ish, in that 2% to 4% range, and that’s what we’ve reflected in our guidance, that’s what we’re comfortable with in the second half of the year.
Ronan Kennedy: Okay, thank you.
David Gamsey: Thank you, operator, and thanks everyone for your participation. Have a great day!